Operator: Good morning, all. Welcome to today's conference call to discuss Greenlane Holdings Second Quarter 2021 Financial Results. A press release detailing the financial results for the quarter was distributed this morning and is available on the Investor Relations section of the Greenlane website. As a reminder, today's conference is being recorded. On the call today are Aaron LoCascio, Chief Executive Officer; and Bill Mote, Chief Financial Officer. Before we begin, Greenlane would like to remind listeners that today's prepared remarks may contain forward-looking statements and management may make additional forward-looking statements in response to the questions received. These statements do not guarantee future performance and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties and other factors discussed in today's press release. This call also contains time-sensitive information that speaks only as of the date of this live broadcast August 17, 2021. Factors that could cause Greenlane's results to differ materially are set forth in today's press release and in Greenlane's annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. Any forward-looking statements made today on this call are based on assumptions as of today and Greenlane assumes no obligation to update these statements as a result of new information or future events. During today's call, Greenlane management may discuss non-GAAP financial measures including adjusted net loss and adjusted EBITDA. Greenlane has included a reconciliation of these non-GAAP measures in today's press release, which is available in the Investor Relations section of our website at gnln.com. I would like to now turn the conference over to Mr. Aaron LoCascio, Chief Executive Officer of Greenlane. Please go ahead, Mr. LoCascio.
Aaron LoCascio: Thank you, everyone, for joining us today. This morning, I will review key highlights from the quarter and the recent progress on our growth strategy before turning the call over to our Chief Financial Officer, Bill Mote, for a review of our financial results. We started 2021 on strong footing following our successes in 2020 and we have made tremendous progress. We continue to gain momentum on the growth of our core revenue and Greenlane brands. Core revenue was up 14.9% to $34.5 million for Q2 2021 compared with $30 million in Q2 2020 and accounted for 99% of our total revenue for the second quarter of 2021. We're also seeing continued growth from our higher-margin Greenlane-owned brands with revenue up 62.5% to a record $9 million in Q2 2021 from $5.5 million in Q2 2020, which I am extremely proud to share is our third consecutive quarter of record revenue for our owned brands. These own brands continue to perform exceptionally well in the market and accounted for 25.9% of total revenue for the second quarter of 2021. These financial metrics demonstrate continued positive results from the work we completed throughout 2020 to increase our revenue mix to one more heavily weighted to our higher margin Greenlane-owned brands. I'm also excited to share the advancements we have made on the execution of our strategic vision, which continues to focus on launching exciting new consumer products into the market, expanding our platform through carefully selected M&A opportunities and growing Greenlane's position as the leading provider of cannabis consumption products globally. As we continue growing our Greenlane brands revenue, we benefit from the deep and longstanding relationships we have built over the past 16 years, which a large percentage of the industry's leading brands. We work with brands over their lifecycle and have developed significant insights into the market, which gives us a strong sense of when is the most opportune time to acquire. Our criteria to add brands to our portfolio is very selective and we focus on products that will not only enhance our margin profile, but ones that will elevate our customers experiences. Curating products that continue to position us as the industry-leading provider of premium cannabis accessories. We have a robust pipeline of opportunities and expect to continue executing on similar opportunities as we anticipate industry consolidation will continue to happen over the next few years. Our second quarter results demonstrate our focus on growing our portfolio of owned brands and driving strong performance from our existing brand portfolio is not only working but exceeding our initial expectations. Together with our upcoming merger with KushCo, we are exceptionally well positioned to grow our business and be the leader in ancillary cannabis space. On that note before I turn the call over to Bill, I'd like to end by discussing the status of our transformative merger with KushCo. We are combining two robust, differentiated, and innovative offerings to create a best-in-class product portfolio. In addition to a differentiated and complementary product offering, we will also be merging two distinct customer bases. The combined company will serve a premier group of customers, which includes many of the leading multi-state operators, single state operators and Canadian LPs, the majority of the top smoke shops in the U.S. and millions of direct consumers, allowing for tremendous cross-selling opportunities. With a combined 26 years of experience over 200 articles of intellectual property and strong relationships with key vendors, we believe we will be best positioned to continue delivering innovative product solutions to our global customer base. Following completion of this transaction, we believe the combined company will have a strong platform for accelerated organic growth and should be well positioned to capitalize on attractive market opportunities to grow profitably and drive value for all shareholders. With our shareholder votes scheduled for next week, our expectation is that the transaction will close shortly thereafter. We've made substantial progress on our strategic initiatives during the second quarter and will continue to accelerate this growth strategy moving through 2021. With that, I'll now turn it over to Bill to run through our financial results in further detail.
Bill Mote: Thanks, Aaron, and hello, everyone. As a reminder, the results I will be reviewing with you this morning can be found in our earnings release that is available on EDGAR and the Investor Relations section of our website at gnln.com. As a reminder, before I begin, our core revenue is defined as all non-nicotine revenue. Net sales of Greenlane-owned brands grew 62.5% to $9 million for the year, increasing to approximately 25.9% of total net sales for Q2 2021, up 880 basis points from 17.1% for Q2 2020. Core revenue grew 14.9% to $34.5 million in Q2 2021 from $30 million in Q2 2020. Total net sales increased to $34.7 million in Q2 2021 from $32.4 million in Q2 2020, with core revenue now accounting for 99% of revenue for the quarter, compared with 93% in Q2 2020. Our United States segment net sales increased 16.4% to $30.7 million for Q2 2021 from $26.4 million in Q2 2020. We are very pleased with the growth in the United States, which occurred despite the lingering impacts of the COVID-19 pandemic. Net sales in the United States increased due to a $4.9 million increase in B2B sales, a $1.4 million increase in supply and packaging sales and a $300,000 increase in retail sales, offsetting declines in e-commerce and channel and dropship sales of $1.6 million and $600,000, respectively. Our Canadian segment decreased $2.1 million for the Q2 2021 quarter from $3.5 million in Q2 2020 due to a decrease of $2.2 million in our non-core revenue sales, resulting from our strategic shift away from low margin sales. Looking at our European segment. Sales were flat at $2.6 million, primarily due to the establishment of third-party website sales, resulting in $400,000 of additional net sales and $200,000 growth in B2B sales, which offset a $600,000 decrease in ecommerce sales. Europe remains an exciting growth avenue for us, and we look forward to increase performance in the back half of the year. Gross profit was $7.8 million or 22.4% of net sales in Q2 2021 compared to $6.8 million or 21% of net sales in Q2 2020. While merchandise margin increased 2.3% or 113 basis points and resulted in $800,000 or 7.4% increase in merchandise gross profit. The improvements were largely negated by $900,000 increase in inventory adjustments and $500,000 increase in customs duties and fees. We expect our overall gross margin to continue to improve as we execute on our strategic vision with Greenlane brands at the core. G&A costs for Q2 2021 decreased to 7.1 million compared to 10.9 million in Q2 2020, primarily to a reduction in bad debt expense of 1.1 million attributable to the EU VAT tax issue, as well as a reduction in accounting fees of approximately 300,000. These reductions were partially offset by an increase in legal and M&A expenses of approximately 1.5 million in connection with our due diligence and merger-related services during Q2 2021. We expect our third-party logistics costs will decrease going forward, as we continue to optimize our distribution platform. Net loss for Q2 2021 was 5.8 million, compared to 6.3 million in Q2 2020. Adjusted net loss was 4.2 million in Q2 2021 compared to 5.1 million for q2 2020. Adjusted EBITDA loss was 3.7 million in Q2 2021, compared to an adjusted EBITDA, loss of 4.3 million in Q2 2020. We ended the quarter with 11.6 million in cash and subsequent to the quarter end, we announced and completed a $32 million direct offering priced at the market under NASDAQ rules. As a result of that financing, we are well equipped and positioned to execute on our near-term strategic initiatives. We have developed a robust pipeline of potential M&A and are currently in discussion with several attractive acquisition opportunities. We believe we can execute on these opportunities throughout the remainder of 2021. With the improvements in our financial performance and strong growth in both core and Greenlane owned brands revenue, as a result of our recent acquisition of Ice and future merger with KushCo. We believe this will be a pivotal year for us and we are more excited than ever about the future for Greenlane. With that, I'll turn the call back over to the operator and open it up for Q&A.
Operator: [Operator Instructions] Our first question comes from Aaron Grey with Alliance Global Partners.
Aaron LoCascio: Hi, Aaron.
Bill Mote: Good morning, Aaron.
Aaron Grey: Hi, good morning, and thank you for the questions. Hi, good morning. Thanks. So just quickly, then, I was wondering if I can get some color in terms of how some of the other Greenlane brands performed during the course, specifically Eyce and Pollen, I know that VIBES did very well. Thank you.
Aaron LoCascio: Yes. So I mean, we continue to see strong growth pretty uniformly across all of our own brands, some are outperforming others. Eyce is an example is up 85% year-over-year. And Pollen Gear is another example that you referenced is up 35% on a year-over-year basis.
Aaron Grey: Okay, great. Thank you for that color. And then second question for me would just be around some of the initiatives you talked about in terms of the dispensaries and getting some of your glassware and Eyce material within that. I know you guys have often talked about with Kush coming on and some of the relationships that they have in terms of helping them to get you in terms of the door – in front of doors. But as you have all these new licenses coming online, I just want to know in terms of you and for sales team, what you guys are doing to maybe be part of the original planogram for these dispensaries versus trying to go into existing dispensaries and change up the planogram and see where you fit and maybe some of the efforts you're doing to get them with the licenses before these stores have been opened? Thank you.
Aaron LoCascio: Sure. I mean, it's a combination effort of both inside and outside. We do leverage the existing infrastructure we have with an outside sales team to actually go into stores and communicate with both existing brick-and-mortar locations as well as new and up and coming locations. A lot of times we're working with existing customers who are setting up new stores. That's another great avenue for us where we can really leverage our expertise in planograms from day one store go live. So it's really the combination of our product expertise, what sells, what demographics and what geographic locations, coupled with our inside team, as well as our outside sales team to really make sure we're hitting the ground running on both existing operations as well as new stores.
Aaron Grey: All right. Great. Thank you for the color, and I’ll jump back in the queue.
Aaron LoCascio: Thank you.
Operator: Our next question comes from Vivien Azer with Cowen.
Vivien Azer: Hi, good morning.
Aaron LoCascio: Good morning, Vivien.
Bill Mote: Good morning, Vivien.
Vivien Azer: So I was wondering if you could talk a little bit about the shape of the quarter, revenues looks good, in particular, the Greenlane growth to be sure. But for a lot of your MSO partners, they commented on a deceleration and growth through the quarter, just curious whether that translates into similar trends for your business. Thanks.
Aaron LoCascio: Sure. So, again, we saw some meaningful growth in our core and brands business, particularly in the United States. Again, for the most part, we're dealing with smoke shops across the country. It's a big part of why we're particularly excited about the merger with KushCo because they have much deeper relationships with the MSOs. So we've seen some meaningful growth come out of the existing licensed customers, enterprise level cannabis customers MSOs, but we're still very, very early innings there. As Aaron had kind of asked before, there's certainly a lot of opportunity in both existing storefronts and new storefronts. But we're going to continue to focus on again, our core revenue and more importantly than that, even our branded revenue, as we look to enter those brick-and-mortar storefronts across the country. I'm not sure, did that answer your question?
Vivien Azer: Sorry. Yes. Perhaps I didn't articulate it as eloquently as I could have. For the smoke shops that you guys deal with. Did you see the similar sequential deceleration and growth that the MSOs articulated in the marketplace?
Aaron LoCascio: We're not seeing that same deceleration in the smoke shops. We're seeing, again, if we're focused on the U.S. in particular, which is our largest segment, by far, about 20% growth year-over-year on our core business as a total in the U.S. There's definitely still a lot of logistical and operational challenges that exists in the marketplace that I think we're all very well aware of. But in terms of kind of a deceleration, and I've seen some of the data coming out of the MSOs and patient counts, we are -- we have not seen that type of change within the independent smoke shop space. Although we're watching very carefully for any potential impacts right now, the end of the challenge that we have right now still remains the operational supply chains, most notably with China particular.
Vivien Azer: Understood. And then, my last one for me, you did call out kind of the work you're going to be doing on third-party logistics, when would we expect to see that start to show up in gross margin? Thanks.
Aaron LoCascio: We continue -- we transitioned into a third-party warehouse last year and we just continue to optimize that. So we're seeing it already kind of roll through. But we continue every month, every quarter to optimize that relationship with the 3PL. We also transitioned to a 3PL and Europe back in April of this year, and that continues to ramp up and come online in full bore. So we'll continue to see slight improvements in margin as a result of those changes. But overall, I think, we've recognized the bulk of those improvements will continue to optimize that though.
Vivien Azer: Got it. Understood. Thank you.
Operator: Our next question comes from Derek Dley with Canaccord.
Derek Dley: Yes. Hi, good morning, guys.
Bill Mote: Hi, Derek.
Aaron LoCascio: Hi, Derek.
Derek Dley: So when I look at your gross margins, obviously, some good strong results on the gross margin side, and it seems to obviously coincide with the growth in the Greenlane-owned brands. I was just wondering if you could give us some commentary on where you think that gross margin can go as you increase your exposure in Greenlane brands to your target of 40%?
Aaron LoCascio: So, thanks. That's a great question, much appreciated. We have long stated Greenlane as a standalone organization should be able to achieve on a blended basis, including the third-party brands in the mid-30s as a total gross margin profile. There were certainly be a natural maturation and ebbs and flows as we continue to make our way to those higher gross margins. Some examples of what we saw in the second quarter to kind of give you some directional understanding, we have on a year-over-year basis a decrease in total e-commerce sales, which are higher margin as again, stores open up and we're seeing less people buy online and more people buy in store. But we're -- it's being offset by an increase in Greenlane-owned brands, but then again being offset to a degree by a very substantial increase in operational costs, particularly with sea freight and air freight and logistics-related to getting products from various manufacturers around the world to the United States. So we're very happy to see the progress that we've made, but there's plenty more room for that to continue to grow.
Bill Mote: Yes, in the last -- go ahead, sorry, Derek, go ahead.
Derek Dley: Yes, so I was just going to sort of quickly follow up on that. So if we -- if I take -- if I kind of -- if I think I heard you correctly, you kind of had two headwinds and one tailwind in the quarter. So would you say that the tailwind of the strength in the Greenlane brand was offset in part by, obviously, the supply chain disruptions, which hopefully are temporary and it's not just you guys, it's everybody facing those, and then obviously, the drop in e-commerce?
Aaron LoCascio: Yes, honestly, we believe that all to be -- we believe that the tailwinds to be sustainable, again, especially as it relates to the growth in our owned brands, which is going to be a great tailwind for continuing to grow our margins. E-commerce has stabilized and we still have plenty of room to grow that, although it's very tough comparison year-over-year, given where we were a year ago with the pandemic and how explosive e-commerce was, and the supply chain challenges, while it's difficult to predict how long they will persist for, we do believe them to be temporary in nature. So all those things lead to a continued path. Our expectations are that we will continue to see incremental improvement of our margin profile to our ultimate goal of around 35% on a Greenlane standalone basis.
Bill Mote: And that 35% was a three-year horizon we gave and that was assuming 40% of our products are Greenlane owned brands. So at Q2 2021, we're in the 22% range in margins and that's kind of squarely within the -- what we said in Q1, which is our margins for the year should be in the low to mid-20s. We're continuing to progress on that road, and 26% of our product right now is Greenlane branded product.
Derek Dley: Yes, okay. No, that's great. Just one more just from the 10-Q, it looks to me like Europe turned profitable this quarter on an EBIT perspective. Can you just provide an update on Europe and how that integration is going?
Bill Mote: Yes, look, I wouldn't say there's an integration there, I just say that we're flat to last year in Q2, like I said in our earnings script, we're confident that that's going to return to growth. Europe was our highest growth area for the year in terms of our initial internal projections. Obviously, COVID has taken a larger hit to Europe than we originally anticipated, and profitability is also impacted by the VAT issues that we've had in Europe, and we'll be streamlining the operations as we move through the remainder of the year. And I was just over in Europe last week working with the team to build that streamlined operation plan. So we're confident that'll return to profitability as we move through the rest of the year, and obviously, we've had some cleanup to do with that tax and things of that nature, which have overshadowed some of the good performance that we've seen there.
Operator: [Operator Instructions] Our next question comes from Scott Fortune with ROTH Capital Partners.
Nick Meyers: Hey, good morning. This is Nick stepping in.
Bill Mote: Hi, Scott.
Nick Meyers: Hey, hey guys, this is Nick stepping in for Scott. First question kind of around Canada, it looks like it's kind of a decline in sales as you shift away from nicotine sales, and you went through the ERP implementation, you indicated in your 10-Q, you will see a recovery in that market. Can you kind of quantify that recovery heading into the back half here and where you expect to see that revenue kind of come from? Thanks.
Bill Mote: Yes, so, Canada historically has been almost 50% nicotine, although as a whole of the worldwide revenue, not substantial nicotine revenue, which we've now moved nicotine almost 0% of our sales. So we're going to -- year-over-year compares are going to be difficult for Canada over the course of the next couple of quarters, but we'll continue to build the non-nicotine component of the Canadian sales, not necessarily giving guidance overall, but you can continue to expect that the non-nicotine component of the revenue, which was almost 50% of the revenue in prior years will continue to be low. And that's just our strategic initiative to get away from single-digit margins in the nicotine business and continue to build the core revenue, which is our own Greenlane brands and other non-nicotine products by third-parties. So I'm going to stay away from guidance, but I'll give you the indication, I think the non-nicotine component of our revenue, which we do break out, will continue to return to levels where we were previously to Q2. The ERP did impact our sales in Q2 just simply, as ERP -- it was our first implementation of a multi-stage ERP system and Canada was a bit of a guinea pig. So we worked out a good deal of our bugs on the Canadian implementation.
Nick Meyers: Got it. I appreciate that color. And then second question for me kind of around your recent raise. Can you touch on the rationale behind the raise of capital and kind of the go-forward strategy around deployment there? Thank you.
Bill Mote: Yes. So obviously, the merger with Kush is a large merger. It requires a significant amount of expenses related to legal and bankers' fees and whatnot. We wanted to be prepared for both the close of the Kush deal, as well as the any incremental working capital necessitated as a result of that merger. And Kush is carrying a balance on their ABL, we will take out that ABL at the close of the transaction as well. So when I talked about near-term strategic needs, this raise covers us for that. And then as we move into a combined company and look at our overall M&A strategy and related working capital, we evaluate that as we move into the back half of the year.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Aaron LoCascio for closing remarks.
Aaron LoCascio: Great. I just want to say thank you again for joining Greenlane's conference call today. As always, I want to finish by sincerely thanking our team for all their dedicated hard work. And we look forward to updating you on our further 2021 progress in the next quarter. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.